Operator: Good day, everyone. And welcome to the Qiwi Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, today's conference is being recorded. At this time, I would like to turn the call over to Ms. Tatiana Vlasova, Acting Head of Investor Relations of Qiwi. Please go ahead.
Tatiana Vlasova: Thank you, Operator, and good morning, everyone. Welcome to the Qiwi’s fourth quarter and full year earnings call. I am Tatiana Vlasova, Acting Head of Investor Relations. And with me today are Boris Kim, our Chief Executive Officer; Andrey Protopopov, Chief Executive Officer of the Payment Services segment, and Pavel Korzh, Chief Financial Officer. A replay of this call will be available until Tuesday, April 13, 2021. Access information for the replay is listed in today's earnings press release, which is available at our Investor Relations website at investor.qiwi.com. For those listening to the replay, this call was held and recorded on March 30, 2021. Before we begin, I would like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risks and uncertainties. Qiwi cautions that these statements are not guarantees of our future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the Company's most recent Annual Report on Form 20-F filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from our forward-looking statements. During today's call, management will provide certain information that will constitute non-IFRS financial measures, such as total net revenue, adjusted EBITDA, adjusted net profit and adjusted net profit per share. Reconciliations to IFRS measures and certain additional information are also included in today's earnings press release. With that, we'll begin by turning the call over to Boris Kim, our Chief Executive Officer.
Boris Kim: Thank you, Tatiana, and good morning, everyone. Thanks for joining us today on this call. I'm pleased to share our fourth quarter and full year 2020 results with you. 2020 was a year of unprecedented changes for the world. But despite that, we demonstrated robust performance driven by solid results of Payment Services segments, and cost optimization measures we implemented in 2020, including the sale of Sovest projects and wind-down of Rocketbank. The growth of the group was amplified by the development of Factoring PLUS and Flocktory projects. I'm glad to confirm that we know that full year 2020 results in line or even above the guidance with the full year. Total net revenue and adjusted net profit increased by 12% and 54%, respectively. Now on to our recent developments, as you know, in December 2020 following routine scheduled audit of QIWI Bank, the Central Bank of Russia imposed certain restrictions on QIWI Bank's operations. These restrictions suspended or limited more types of cross-border payments. At the current moment, the CBR restrictions continue to have a negative impact on our volumes and revenues, primarily in E-Commerce and Money Remittance curve. The CBR imposed these restrictions for six months period, starting from December 2020. We are currently working closely with the CBR, as a result of our negotiation we were allowed to restart cross-border operations in favor of certain foreign merchants. I believe, these imposed restrictions will allow us to maintain new partnerships with our foreign merchants, and retain some of our clients that you that used Qiwi Wallet for cross-border payments. However, we cannot be sure that CBR will ease all these restrictions. We also do not exclude that some of these restrictions may become permanent, including through the adoption of new laws and regulations. But even the CBR lifts these restrictions, we probably may not be able to gain back the business we lost, because of these restrictions. And we will discuss the impacts of the CBR restrictions in more details, while I'll move through the changes in betting industry landscape. Sports betting continues to be a significant revenue stream for Qiwi. Currently we serve one of two TSUPIS that accept electronic bets on behalf of sport betting companies in Russia. In December 2020, a new law was adopted. This law establish the unified gambling regulator and its unified interactive bet accounting center or ETSUP. By the end of December 2021, the ETSUP will replace two existing TSUPIS. We have made a proposal to serve as the ETSUP, however, we cannot be sure that our bid will be successful. If we cannot become a part of the new industry landscape, we may experience a decrease in or complete loss of payments volume and income related to the TSUPIS. At the same time, we believe that we should be able to retain a part of our revenue generated from Qiwi Wallet services for the betting industry, which are not directly related to our TSUPIS, including betting counterparts and winning pay-offs. With increasing competition of the payment block [ph], changes in e-payments regulation, rising scrutiny to cyberspace and cross-border payments as well as changes in betting industry landscape, 2021 presents number of novel changes. Nevertheless, I believe that our resilient ecosystem will serve as a solid foundation for our future growth. We strive for innovations and will continue to reinvent our business model to better reflect the changes and to fully serve the needs of our customers and diversified Qiwi businesses. We’ve been said, we continue to focus on optimizing and improving efficiency of our operations across all projects. We see many opportunities to have and will pursue our ultimate goal of securing the sustainable growth of the capital. Now, on to some operation highlights. Last quarter 2020 total net revenue was RUB6.2 billion. The increase was mainly driven by customer financial services segments led revenue decline due to refill of the service project in July 2020, which was partially offset by payment services segment net revenue growth. For the full year 2020, total net revenue increased by 12% to reach RUB26 billion, up from RUB23.2 billion in the prior year, primarily as a result of payment services segments, net revenue growth, and Rocketbank net revenue contribution generated from the termination of the royalty program due to project wind-down. Andrey will discuss the performance of our payment services segment in a minute, while I'll walk you through the operating results of our other projects. For the full year 2020, Factoring PLUS net revenue more than doubled and reached RUB679 million, compared to RUB285 million in the previous year. Factoring PLUS offers its clients two types of services, digital factoring financing, and digital bank guarantees. The core clients of Factoring financing are small and medium sized entrepreneurs, operating mainly in food processing industry, pharmaceutical industry and real estate. As of the end of 2020, Factoring PLUS had more than 470 active clients, using Factoring financing with a total Factoring portfolio of RUB5.7 billion. Factoring PLUS projects have already issued over 60,800 bank guarantees, with digital bank guarantees portfolio reached RUB20.9 billion as of the end of 2020. Factoring PLUS clients involved primarily into building and construction business, new digital bank guarantees on the broad range of transactions, primarily performance guarantees for public procurement, participation and execution. That said, the NPL level of the bank and guarantees portfolio is below 0.2 %. Despite the challenging macroeconomic environment in 2020, the project demonstrated strong operating and financial results. In 2021, we aim to focus on enhancing the current services of Factoring PLUS clients and development of new products, which will be strengthening our position in SME market. The consolidation of Flocktory projects starting from December 2019, also contributed to Tochka net revenue growth, that fluctuates full year 2020 net revenue amounted to RUB499 million. For the full year 2020, Tochka net revenue declined by 41% to RUB588 million, as a result of a decline in revenue generated from cash and settlement services, due to low number of active Tochka clients being served by QIWI Bank, as well as like a transfer of Tochka business to JSC Tochka, our equity associate starting from February 1, 2019. Finally, last year we successfully completed the optimization process and divestiture of two loss-making projects, Sovest and Rocketbank. Moving on, I'm glad to confirm that in accordance with the decision of the Board, we will be distributing 50%of our adjusted net profit for 2020. The final amount of dividends, as well as record and payment dates will be announced following the publication of our audited full year results. Further, considering our expectations about the group's performance and our anticipated level of investments in 2021, the Board of Directors approved the target dividend pay-out ratio of at least 50% of group adjusted net profit for 2021. The Board of Directors reserves the right to distribute the dividends on a quarterly basis, as it deems necessary, so that the total annual pay-out in accordance with the target provided, though the pay-out ratios for each of the quarters may vary and may be above or below provided target. Now onto our guidance. Looking ahead, this remains significant uncertainty in 2021, primarily related to the long run effect of severe restrictions and our ability to recover our employees currently associated with cross-border operation, as well as our ability to secure a place in the new betting industry landscape. We remain conscious, as we closely monitor the situation on the market floor. Having said that, we expect group total net revenue to decrease by 15% to 25% over 2020. Payment services segment net revenue to decrease by 15% to 25% over 2020, while adjusted net profit is expected to decrease by 15% to 30% over 2020. Our outlook reflects our current views and expectations only and based on the trends we see as of the day of current call. If such trends were to deteriorate further, the impact on our business and operations could be more severe than currently expected. At the time, we reserve the rights to revise the guidance in the course of the year on the scope and extent of factors impacting our results becomes clear. Finally, I would like to announce that I have notified the Board of Directors regarding my intention to resign from the position of the CEO, with effect from the date of the 2020 Annual General Meeting. Together with Qiwi team, we achieved goals that I initially had in mind, one that to win the [ph] CEO position. We refined our business model and improved the operation of the group, and we also revised our strategy. I would like to thank our team for this job. And I'm also happy to share that our Board of Directors has recommended that Andrey Protopopov takes the position of Chief Executive Officer of Qiwi. The recommendation comes after a profound executive search undertaken by the Board for among internal candidates, and is the result of a long running strategic process to transform Qiwi into a management driven business that is able to succeed without reliance on its founder team. Andrey has long played a vital role at Qiwi, particularly in product development function. And I believe the combination of Andrey will ensure continuity of our strategy focused on development, our team ecosystem and the growth in our key regions, as well as enhancement of our other projects. For the last couple of years, Andrey has been actively involved in management operation of the business, and I believe his skills and commitment supported by our leadership team will help Qiwi fulfill our long-term goals. With this I will turn the call over Andrey for an update on our Payment Services business. Andrey?
Andrey Protopopov: Thank you, Boris, and good morning, everyone. It's my pleasure to be here with you today. First of all, I would like to thank the Board of Directors for the trust they have placed in me. Since joining Qiwi in 2013, I have been involved in different aspects of the business, and I'm very confident in Qiwi's potential. I'm eager to take the helm and execute our strategy focusing on enhancement of our Payment Service Segments market position, as well as development of our other projects including Factoring PLUS and Flocktory. Now on to the result of our Payment Service segment. Despite all challenges we faced in 2020, we processed over RUB1.6 trillion in cash and electronic payments, and increased our payment volume by 9%. I would like to thank our entire team for their contribution and engagement. This has proved the resilience of our ecosystem and clearly emphasize the value and relevance of solutions that we have developed so far and aim to develop further. I will begin with a discussion of the impact of the CBR restriction on our payment service segments. The restrictions have and continue to have a negative effect on our operation. As Boris mentioned earlier, our e-commerce and money remittance market verticals continue to be constrained. Cross-border payments in general have higher commissions and therefore CBR restrictions significantly depressed our fourth quarter payment average net revenue yield, with e-commerce adjusted net revenue yield declined by 58 basis points. Following the yield decline, e-commerce net revenue decreased by 8% compared to the fourth quarter of the prior year. We believe that the total impact of those restrictions on payment services net revenue in the fourth quarter of 2020 was between RUB500 million and RUB600 million. Now, let's move on to operating results. For the fourth quarter of 2020, our Payment Service segment volume increased by 60%, reached RUB464 billion, driven by significant growth in money remittance and e-commerce market vertical, which grew by 33% and 21%, respectively. The growth in e-commerce and money remittance vertical was largely driven by the development of policy stream, namely digital entertainment and self-employed, where we focus on extending our personal network and building our relationship with our existing partners. The fourth quarter volume growth was limited by CBR restrictions. Payment Services segments net revenue increased by 6% in the fourth quarter of 2020, reached RUB5.8 billion compared to RUB5.5 billion in the prior year. Payment Services segment adjusted net revenue increased by 4% to RUB5 billion, up from RUB4.8 billion in the prior year, primarily as a result of the net revenue growth in our money remittance vertical, which grew by 22%. The continued growth in money remittance vertical was driven mainly by the strong performance of the compact money remittance system, and the significant increase in payouts resulting from the scaling of our strategic self-employed space. In the fourth quarter of 2020, we committed to our platform over 550 taxi companies continue to improve our services capacity park and other self-employed use cases in order to support future growth of the stream. Our payment average adjusted net revenue yield was down by 12 basis points year-over-year by 1.09%, driven by year-over-year decline in our e-commerce of money remittance market verticals. Such reduction was due primary by the CBR restriction, as well as a change in product mix, as we continue to see an increase in one of several loan yielding services, such as online acquiring. Payment Services other adjusted net revenue increased by 18% to RUB766 million, as compared to RUB647 million in the prior year, as a result of the growth of fee for inactive accounts and ongoing payments, as well as due to sample customization levels we have implemented in 2020. Our financial operation results were negatively affected by COVID-19 pandemic, and related restrictions imposed globally. We adjusted a decline in revenues derived from our services from the [indiscernible] due to the cancellation of numerous major sports events, and the drop in marketing returns primarily resulting from an overall core balance using taxies. We also experienced a decline in the use of our kiosk and terminal network, due to the lockdown measures which led to a decrease in the number of kiosk and terminals. The full impact of COVID-19 pandemic on the global economy is difficult to predict, because a lack of clarity on how long it could be expected to lasts. Nevertheless, we believe that Qiwi is a unique technology platform highly valued by both customers and partners, and better attuned to the mandate by the markets. Despite uncertainties and changes in the operation environment, we see diverse opportunities for growth in the mid and long-term, including through general digitalization time. In accordance with our business strategy, we will focus on the development of new services and product quality, which including digital entertainment, self-employed, digital wallet and money remittance, in order to increase our penetration in those markets. I do believe, that we are well-positioned to continue developing our business and strengthening our ecosystems to provide our clients the best and class digital solutions. With this, I will pass over to Pavel for more details on the financial performance of the group. Pavel?
Pavel Korzh: Thank you, Andrey. Moving on to expenses, in 2020, the Payment Services business demonstrated strong operating performance and continues to generate substantial cash flows, supporting our investments in the development of the new projects. For the full year 2020, we have significantly increased the overall efficiency of our operations and our margins, through a successful divestiture of the key investment intensive projects and other cost control and optimization measures, that we were implementing throughout the year. The full year net revenue growth, which was underpinned by the decrease in expenses, supported an increase of profitability of the group. Before we move on, I would like to highlight that going forward, I will refer to the segment numbers that includes the effects of both continued and discontinued operations under IFRS. For the avoidance of doubt, as of December 31, 2020, Sovest and Rocketbank project are presented as discontinued operations in our IFRS financials. This being said, adjusted EBITDA for the fourth quarter of 2020 increased by 125% to RUB3.6 billion, from RUB1.6 billion for the same period in the prior year. Adjusted EBITDA margin was 58%, compared with 26% in the previous year. For the full year 2020, adjusted EBITDA increased by 52% to RUB13.8 billion, from RUB9.1 billion in the prior year, due to total net revenue growth. Adjusted EBITDA margin was 53% compared with 39% in the prior year. Adjusted EBITDA margin increased mostly resulted from the decrease in selling, general and administrative expenses due to the decline in advertising, client acquisition and related expenses driven by the divestiture of Sovest and the wind-down of Rocketbank, and lower other administrative expenses mostly related to traveling. Group adjusted net profit increased by 116% in the fourth quarter 2020 to RUB2.5 billion, from RUB1.2 billion in the fourth quarter of the prior year. While for the full year 2020, group adjusted net profits increased by 54% to RBU10.3 billion, from RUB6.7 billion in the preceding year. Adjusted net profit growth largely resulted from the same factors impacting adjusted EBITDA, offset by an increase in income tax expenses. Payment Services segment net profit for the fourth quarter 2020 increased 1% to RUB2.7 billion, driven primarily by payment services segment net revenue growth, offset by the growth of personnel expenses, excluding the effects of share based payments expenses. Corporate and other category net loss for the fourth quarter decreased by 23% to a RUB162 million, from RUB210 million in the fourth quarter of the prior year. While corporate and other category of full year 2020 net loss decreased by 35% to RUB730 million, from RUB1,128 million in the previous year, as a result of Tochka net profit growth by 121% to RUB785 million, primarily due to the higher equity pick up, driven by the project growth and strong performance. Factoring PLUS net profit was RUB206 million compared to a net loss of RUB23 million in the prior year. We continue to optimize our operations in order to improve operating and financial performance of the group and ensure sustainable growth. With that, operator, please open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Vladimir Bespalov of VTB Capital. Please proceed with your questions.
Vladimir Bespalov: Hello, congratulations on the numbers. I have a few questions. My first question will be on betting. It remains like six months before the new operator of the Unified [ph] who is going to start operations. So with this time remaining, probably there should be more clarity to say the company which will be providing these services estimate at solution something like this. Maybe could be update on the status? What is going on? What is the status of your talks and what are the options? Could you serve for example, as an outsourcing company for solutions to be provided? And what kind of revenue this option can generate?
Boris Kim: Thank you for your questions. Sports betting continues to be a significant revenue stream for Qiwi. However, our future results depends on our ability to secure a place in the new betting industry landscape. In December 2020, new law was adopted establishing Unified Gambling Regulator as the new governmental agency, with broad authority to oversee the betting market and creating the role of Unified interested best accounting standard ETSUP. This role is assigned to a quality institution specifically authorized by the President of Russia, based on the proposal made by the government. The new regulation enters into force in stages. By the end of the September 2021, ETSUP will be established and will replace the two existing TSUPIS. At the current moment we have submitted a proposal to serve as a ETSUP. And we are waiting for the announcement of the organization who will serve as ETSUP. Meanwhile, even if we are enabled to become ETSUP or somehow other participating ETSUP operations, we can retain a lot of revenue related to betting, primarily for services associated with Qiwi’s role, including conditions for betting counts [indiscernible]. We believe that Qiwi has built unique technology platform that is highly valued by both customers and partners, and gathers unique expertise and that is sought after the market. We believe that our services will continue to be demanded by the market, and will strive to maintain the quality and availability of our services.
Vladimir Bespalov: Thank you very much. And my other question, is that on the money remittance vertical. When I look at the numbers for the fourth quarter, I don't see at least on the surface the impact from the Central Bank's regulations, because both yield is key and growth is a key. So could you maybe comment a little bit to whether the negative impacts on the CBR regulation was offset by some other acceleration in this vertical, and maybe you could provide more color what is going on there?
Boris Kim: Vladimir, thank you for your question, I will cover this one. So first of all, we should mention that compact money remittances that is a big portion of overall money remittances of Payment Service. They are not affected by CBR limitations. So this one was still allowed. Second big portion of money remittances is related to self-employed businesses, both peer to peer payments between the wallet as well not affected by the CBR regulation, and payouts to the taxi companies and other companies that doing payouts to the self-employed. So, majority of those regulations as well not affected by the CBR regulation. So that's why I would say that this vertical is growing quite nicely, and is continuing to grow and now as well.
Vladimir Bespalov: Okay. Thank you very much. And my third question would be on the trends in e-wallet. You reported wallets for user of the past 12-months. But if we look at the trends, let's say in over the past three months after the regulation by the Central Bank was imposed on you, do you see any meaningful change of trends? Do you see the number of wallets declining the flow through wallet declining maybe some color on that? Thank you.
Boris Kim: I would say, it's still early to say that we have any kind of consistent trend on the wallet number, so we won't see the trends we saw before. Obviously, some wallets -- loss some wallets, that they use an international operation, at the same time we continue to as we said, we kept some of the operations with big notions where a lot of wallets were involved, like for example, Ali Express. And our Russian business that is related to wallets included, for example, TSUPIS business is growing as well. So, I would say it's mix trend currently. And it's too early to say how it will go further. And it as well will be affected by the fact how the CBR limitations will be lifted, and how we'll be able to get back the clients and the some of the clients of [indiscernible] that we had before.
Vladimir Bespalov: Thank you very much.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Maria Sukhanova of BCS. Please proceed with your questions.
Maria Sukhanova: Yes. Good afternoon. I have two questions. So first off in the press release, you said that you are now able to make transactions with some of the foreign merchants. Just wanted to check with you how significant it is versus the amount of transactions that you're spending, that’s one? And second with your guidance. Do I get it right that this range first off the only fact that you suffice to is suspension of CBR suspension? And you do not yet assume any problem issues with betting? And second, this range, does it come from the time and where the suspension is moved to? Thank you.
Boris Kim: Maria, thank you for the question. I'm not sure I fully heard the second one, let me start from the first one and then we will clarify the second. So, talking about those notions that were taken out from the CBR limitation, they're probably not that significant in terms of the revenue that we are getting from our international operations. But they are important in terms of the number of clients and in terms of the kind of overall position, because they are kind of from the image let's say standpoint, because they are big notions and they're important for our customers. And as well, this one is important because it's crucial to keep the relationship with those notions, let’s say unstoppable, while it will be easier to restart our operations as long tail of small notions than with the big one, because if you want to lose your contract, then it's may be difficult to repeat. So, it's more kind of I would say related to the image with our clients, than the volume and revenues. For the second one on the guidance, could you repeat because I think there was something wrong with the sound?
Maria Sukhanova: Yes, yes apologies. So with guidance what scenario is it based on? Like, do you assume that the limitations are listed in summer and that's what it's based on? Or you also assume some issues with betting just to give us some clarity what are your assumptions?
Boris Kim: Yes. Exactly the range that we have in the guidance is a reflection of those different scenarios. So the low range of the guidance implies that we may face certain limitations, show the limitations and certain issues with betting going forward. So, I would say that the range that is within the guidance is a reflection of some uncertainties that we still have for this year related both to CBR limitations and regulation overall, as well as how this ETSUP story will continue.
Maria Sukhanova: Thank you.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Andre Metaloff [ph] of Silva Capital. Please proceed with your questions.
Unidentified Analyst: Good afternoon. Thank you very much for the call. My first question is on the new betting regulation. You basically mentioned that if you don't become this single processor of betting payments starting in September, you will still keep some part of your revenue related to top-ups and payments of winning bets. My question is in this scenario, if this scenario had already been applied in Q4, how much revenue would you have lost in Q4, 2020? And I have other questions afterwards.
Boris Kim: Yes. Let me cover this one. You can think, we probably are not disclosing the exact numbers, but we'll have let's say from 10% to 40% of overall TSUPIS volumes and revenues with us in this scenario, from 30% to 40%.
Unidentified Analyst: Just to clarify, that's what you could keep right not what you could lose?
Boris Kim: Yes.
Unidentified Analyst: Thank you very much for this. My second question is on the audit of your FY '20 financials. This year you have not yet announced dividends together with the unaudited statement revenues, because the orders are on the way and you also say that then maybe could be some adjustments in the audited statements versus the unaudited statements published today. Would you be able to elaborate on where and what magnitude these adjustments could be? Thank you.
Andrey Protopopov: Thank you for a question. We're waiting for the completion of the audit by the company independent auditors, which is at the final stage. At this point in time, we're not aware of any significant changes in the numbers which would come from the audit completion.
Unidentified Analyst: Thank you. And my final question is on the number of potential class action suits against you from a number of years. Law firms, there are various announcements about that. Could you elaborate on the current status of any such claims against the company? And the potential amount of provisions that you have already posted in the unaudited accounts published today or possibly in the audited accounts to be published later? Thank you.
Boris Kim: Thank you for your question. So we are waiting for appointment of fleet plaintiff. And we hope that will happen in May. Until that, we don't have much visibility to comment because we don't have enough information at this stage.
Unidentified Analyst: Thank you. Just to clarify, so no provisions have been posted yet? Is that correct?
Boris Kim: No, that's correct.
Unidentified Analyst: Thank you very much for this. That's all for me. Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to the management for any closing remarks.
Boris Kim: Thank you very much for attending the call. Thank you.
Andrey Protopopov: Thank you.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.